Nicholas Bacchus: Good afternoon, everyone. Thank you for joining Traeger's call to discuss its first quarter 2024 results, which were released this afternoon and can be found on our website at investors.traeger.com. I'm Nick Bacchus, Vice President of Investor Relations at Traeger. With me on the call today are Jeremy Andrus, our Chief Executive Officer; and Dom Blosil, our Chief Financial Officer. Before we get started, I want to remind everyone that management's remarks on this call may contain forward-looking statements that are based on current expectations but are subject to substantial risks and uncertainties that could cause actual results to differ materially from those expressed or implied herein. 
 I encourage you to review our annual report on Form 10-K for the year ended December 31, 2023, a quarterly report on Form 10-Q for the quarter ended March 31, 2024, once filed, and our other SEC filings for a discussion of these factors and uncertainties, which are also available on the Investor Relation portion of our website. You should not take undue reliance on these forward-looking statements, which speak only as of today. We undertake to update or revise them for any new information. 
 This call will also contain certain non-GAAP financial measures, including adjusted EBITDA, adjusted net income, adjusted net income per share and adjusted EBITDA margin [indiscernible]. The most comparable GAAP financial measures and reconciliations of the non-GAAP measures contained herein to such GAAP measures are included in our earnings release, which is available on the Investor Relations portion of our website at investors.traeger.com. Please note that our definition of these measures may differ from [indiscernible]. Now I'd like to turn the call over to Jeremy Andrus, Chief Executive Officer of Traeger. 
Jeremy Andrus: Thank you, Nick. Thank you for joining our first quarter earnings call. Today, we'll be discussing our first quarter results, and we'll provide an update on our strategic growth pillars before handing the call over to Dom to provide further detail on our quarterly performance. Despite facing a challenging demand backdrop, I'm pleased with our execution in the first quarter. Sales were $145 million, and adjusted EBITDA was $24 million, at the high end of our guidance range. 
 Our first quarter results give us confidence in the outlook for the year, and we are reaffirming our prior financial guidance for fiscal 2024. As we move through the quarter, we continue to focus on our key strategic imperatives of driving energy to our brand and delighting our consumers with innovative product. The underlying measures of health for our brand remains strong, and I continue to believe that Traeger is well positioned to be a long-term share gainer in outdoor cooking. Our retail partners continue to be very supportive of the Traeger brand [indiscernible] into the consumer experience at retail. 
 The Traegerhood, our community of Trader enthusiasts continues to be passionate as evidenced by the strong growth in engagement in our social media channels as well as our industry-leading NPS score. I believe that our premium positioning and our current efforts will allow the company to disproportionately benefit from an eventual recovery in grill industry demand. As we anticipated, the demand environment continued to be soft in the first quarter. From a sell-through perspective, consumer demand for grills remained below the prior year. We believe the consumer continues to shift spend away from durable goods like our grills and other product categories [indiscernible] during the pandemic. 
 In particular, we see greater pressure on higher ASP SKUs. From a sell-in perspective, in the first quarter, [indiscernible] significant load-in tied to the launch of 2 new grills in the prior year, which also pressured sales this year. We are assuming that consumer demand for grills remains soft for the balance of this year. The first quarter is a seasonally slower period in terms of consumer demand for grills and our peak selling season at retail typically starts with Memorial Day and lasts through the end of the summer. 
 Therefore, we are highly focused on execution as we move into our most important seasonal period in the next several months, and we will have greater visibility as we move through the second quarter in key holiday periods. In the first quarter, our results continue to benefit from our significant efforts over the last 2 years to enhance profitability and efficiency. Despite lower sales versus the first quarter of last year, adjusted EBITDA grew 11% year-over-year, and our adjusted EBITDA margin grew by 250 basis points. This growth was driven by 700 basis points of gross margin expansion. I am very pleased with our ability to drive first quarter gross margin above 43% and our Q1 margin represents the highest quarterly gross margin we reported as a public company. 
 This is our fourth consecutive quarter of gross margin expansion and the significant progress we have made on margins has been driven by both improvements in the cost environment as well as company-specific initiatives. We continue to have line of sight into strong gross margin improvement for the fiscal year. [indiscernible] Traeger story is our long-term opportunity to expand our household penetration and market share. In the current challenging demand environment, our ability to drive meaningful improvements in our margins and our adjusted EBITDA speaks to our financial discipline, and we expect these improvements will set the company up well for significant growth as demand improves. 
 Overall, I am pleased with our ability to deliver first quarter results at the high end of our guidance range. I believe we are well positioned to execute on our plan this year. Let me now review our strategic growth pillars and key wins in these areas. Our first growth pillar was to drive awareness and penetration in the United States. While the first quarter is a seasonally slower period in terms of grill usage, our community was highly engaged with our brand during the quarter, and we continue to interact with the Traegerhood and create energy behind our brand during key seasonal events. 
 In February, our social post focused on the Super Bowl, and we offered up content and recipes for the big game, including our EPIC take on Trash Can Nachos. We also teamed up with Dan Patrick Show to demonstrate to viewers how to use our Traeger to create an incredible Super Bowl spread. Overall, we saw strong engagement with our brand during the Super Bowl and had another record year of user-generated content post. We also saw a solid increase in connected cooks on the day. Heading into the peak grilling season this year, we are highly focused on driving execution and position at retail. 
 Historically, Traeger has leveraged community and ground level marketing as well as in-store selling and merchandising efforts to drive awareness and accelerate conversion. We will continue to utilize these strategies in the coming months, and we believe that investments into retail execution and merchandising are some of our highest return activities. This includes our Captain Traeger program. This program is designed for associates and retail partners or barbecue enthusiasts and are ready to take their knowledge, training and commitment to the Traeger brand to the next level. Captain Traeger provides retail associates with access to educational training, limited edition products and exclusive VIP events. 
 It transforms these associates into Traeger [indiscernible]. This year, we are investing into the Captain Traeger program through in-person and digital training experiences, moving into peak grilling season. Next week, on May 18, we will be celebrating our Seventh Annual Traeger Day. Traeger Day centers around gathering friends and family and joining food cooked on your Traeger and sharing these memories with the Traegerhood via social media. Members of our community have been recording their best shares to the Traegerhood videos and submitting these to us over the last couple of weeks. On May 18, we'll post [indiscernible] with the best submissions. We'll also run a contest with Traeger giveaways to encourage our community to post their Traeger Day content on social media. 
 The day is a celebration of all things Traeger and is our highest user-generated content day of the year. Turning to innovation. Innovation is a key pillar of our long-term vision for Traeger, and we remain committed to empowering our capabilities in this area. In the first quarter, we completed the build-out of our new R&D lab in our corporate headquarters in Salt Lake City. The R&D lab is designed to equip the R&D team with tools needed to bring innovation into their physical forms as well as inspire creativity. 
 We believe this new space will greatly enhance our ability to create and will be a driver in our long-term mission [indiscernible] outdoor cooking industry with innovation. Also on the innovation front, I'd like to mention that Traeger was named one of Fast Company's Most Innovative Companies in 2024. In fact, Traeger was ranked the sixth most innovative company in North America. Fast Company lists highlighted business that are shaping industry and culture through innovations in a variety of sectors and the annual list is highly anticipated. 
 This achievement is a testament to our long-standing commitment to innovation and disruption. I'm incredibly proud of our team for this well-deserved recognition. Our next growth pillar is growing our consumables business. In the first quarter, we drove innovation in our pellets business through our partnership with an iconic American brand. In March, we announced the introduction of a limited edition of wood pellet in collaboration with Louisville Slugger, the official bat of Major League Baseball. Traeger's limited edition maple pellets are crafted from the same hardwood used to make Louisville Slugger's iconic bats and repurpose wood from the bat manufacturing process to transform wood pellets for the enjoyment of Traeger users. 
 To drive awareness for this launch, we released a series of videos [indiscernible]. As we mentioned on our last earnings call, in February, we relaunched our new branded barbecue sauces across all markets and launched a marketing campaign highlighting our updated offering. With new and improved formulas and easier-to-use squeeze bottles, we believe our new line is a big upgrade. We have also positioned our revamped [indiscernible] a more competitive MSRP. 
 We have been pleased with consumer reception of our new sauces and have seen a lift in sell-through versus our previous line of sauces. Next, I will discuss our fourth pillar, expanding internationally. In Canada, we saw improved sell-through at our big box and specialty grill channels in the first quarter, and we are pleased with the momentum and demand going into the summer. In Europe, our distributors continue to work down excess inventory, and we expect that inventory level will be balanced later this year. In Germany and the U.K., our direct markets in the EU, we are focused on execution at retail going into peak grilling season. We recently rolled out a sales training initiative where we gather leading sales associates from our retail partners to educate them on the brand, demo the product and have them meet brand influencers. 
 Similar to our strategy in the U.S., we believe that ground level execution will drive retail conversion in our international markets where awareness of our brand remains lower than in United States. On the MEATER side, we recently launched new distribution at Canadian Tire, one of the leading retailers in Canada. MEATER also continues to see growth from its partnership with [indiscernible], which is a complement to MEATER's DC-driven revenue base. Overall, I am pleased with our ability to execute our plan in the first quarter, in particular, given the near-term market challenges continue to face our industry. 
 We saw strong growth in gross margins, which has been a key area of focus for our organization for the last 24 months and grew adjusted EBITDA. Going into the peak seasonal period, we are hyper-focused on executing against our plan and I remain highly confident in our ability to navigate the current environment while positioning the brand for long-term success. 
 And with that, I'll turn the call over to Dom. Dom? 
Dominic Blosil: Thanks, Jeremy. Good afternoon, everyone. Today, I will review our first quarter performance and discuss our outlook for fiscal year 2024. First quarter revenue declined 5% to $145 million. Grill revenues declined 14% to $77 million. Grill revenue was impacted by lower sales through a  retail and a lower average selling price. Furthermore, in the first quarter of 2024, we were lapping initial [indiscernible] of 2 new Grill launches in the first quarter of last year, which pressured selling on a comparative basis. Consumables revenues were $32 million, up 7% compared to the first quarter of last year, driven by growth in both our pellet business as well as our food consumables business. 
 While first quarter pellet revenues did benefit from a timing shift in the second quarter, we are pleased with the growth. Accessories revenues increased 7% to $36 million, largely driven by increased sales at MEATER. Geographically, North American revenues were down 9%, while Rest of World revenues were up 31%. Gross profit for the quarter increased to $63 million from $55 million in the first quarter of 2023. Gross profit margin was $0.432, up 700 basis points versus first quarter of 2023. We are pleased with our first quarter gross performance, which benefited from lower costs as well as the margin-enhancing initiatives we implemented in the last 2 years. 
 The increase in gross margin was primarily driven by: one, lower freight and logistics costs, which drove 290 basis points of margin favorability; two, higher pellet margins driven by our efforts to increase efficiency at our pellet mills which drove 170 basis points of margin; three, FX stability, which positively impacted margins by 90 basis points; and four, other favorable gross margin items worth 150 basis points. 
 Sales and marketing expenses were $22 million compared to $22 milion in the first quarter of 2023. During the quarter, increased demand creation costs were partially offset by increased employee expenses. General and administrative expenses were $32 million compared to $27 million in the first quarter of 2023. The increase in G&A expense was driven by higher stock-based compensation expense, higher employee expense and higher occupancy expenses, partially offset by nonrecurring expenses related to the disposal of pellet mill assets in the comparable period.
 Net loss for the first quarter was $5 million as compared to a net loss of $11 million in the first quarter of 2023. Net loss per diluted share was $0.04 compared to a loss of $0.09 in the first quarter of 2023. Adjusted net income for the quarter was $5 million or $0.04 per diluted share as compared to adjusted net income of $1 million or $0.01 per diluted share in the same period of 2023. Adjusted EBITDA was $24 million in the first quarter as compared to $22 million in the same period of 2023. 
 First quarter adjusted EBITDA was approximately in line with the high end of our guidance range of $21 million to $24 million. Next, I will discuss the balance sheet. At the end of the first quarter, cash and cash equivalents totaled $24 million compared to $30 million at the end of the previous fiscal year. We ended the quarter with $404 million of long-term debt. At the end of the quarter, the company had drawn down $41 million under its receivables financing agreement, resulting in total net debt of $421 million. From a liquidity perspective, we ended the first quarter with total liquidity of $153 million. Inventory at the end of the first quarter was $100 million compared to $96 million at the end of the fourth quarter of 2023 and $132 million at the end of the first quarter of 2023. 
 We believe inventories on our balance sheet are appropriately positioned for our current demand outlook. Moving to our outlook for fiscal year 2024. We are reiterating our guidance for revenues of $580 million to $605 million and adjusted EBITDA of $62 million to $71 million. As previously discussed, we expect our Grill revenues to be pressured by lower sell-through as consumer demand for grills remains below historical levels. Furthermore, we will be [indiscernible] Flatrock, and we will be sunsetting several grill [indiscernible] this year ahead of future product launches, which will also pressure Grill revenues. 
 We expect that third quarter revenues will be our most challenging on a year-over-year basis. We are also reiterating our outlook for full year gross margin of 39% to 40%, which represents expansion of 210 basis points to 310 basis points. We continue to expect that our margin will benefit from lower transportation costs, in particular, lower inbound freight rates as well as margin-enhancing initiatives, including our pellet [indiscernible] optimization and our direct import program, partially offset by planned strategic pricing actions to stimulate demand. 
 We expect that our first quarter gross margin improvement will be the largest of the year, and believe the rate of improvement will moderate going forward. Furthermore, we expect that third quarter gross margin will be negatively impacted by deleverage, given the expected pressure on sales and the lower revenue base in the quarter. Overall, while we faced ongoing demand pressure, we delivered first quarter results in line with our plan. Despite lower sales, we grew adjusted EBITDA, and we have visibility into a second year of meaningful gross margin expansion. We are highly focused on execution as we move into our peak selling season and remain committed to navigating the current environment, all positioning for long-term growth. And with that, I'll turn the call over to the operator for questions. Operator? 
Operator: [Operator Instructions] Our first question is from Simeon Siegel with BMO. 
Simeon Siegel: Dom, what was the -- sorry, if I missed it, but what was the breakdown in Grill revenue [indiscernible] price. And then Jeremy, higher-level question on that, just when thinking about the return to grow growth domestically when it happens. How do you think about what we're going to see in terms of replenishment versus new customers? And just kind of thinking about maybe if you have any views on replenishment and cycles there. 
Dominic Blosil: Yes. So the breakdown, roughly speaking, is there was a greater impact to ASP and kind of the high single-digit decline. And then for units, it was somewhat more moderated in kind of the single digits decline. 
Jeremy Andrus: Simeon, happy to hit the second part of the question. First of all, as I mentioned in my remarks, the environment is soft, and it's not easy to sort of unpack how much of it is driven by a pull-forward demand from the pandemic versus a  [indiscernible], sentiment is down. Consumer financing is expensive and housing transactions are very [indiscernible] these things facilitate Grill sales or sell-through retail. We spend a fair bit of time thinking about replenishment cycles, talking to consumers and doing the math on Grill ownership period and our general belief is that we should be about to the end of pull-forward demand from 2021. 
 And then I think as you step back and look at not only this category, but other high-ticket discretionary consumer categories, they tend to have some element of cyclicality to it. And so as we see the consumer strength and interest rates start to come down, we believe those are catalyst to the beginning of the cycle. 
 And we believe that replacement should start -- replenishment should start to normalize, certainly in '25, absent meaningful downside, and the consumer should be back to a fairly normalized cycle. And then the question is what is the impact on the macro on a consumer choosing to wait to get one more year as they do out of durables? In terms of how we think about new versus replacement, as we lean back into top-of-funnel investment, and we're doing some testing this year, but certainly don't believe it's in an environment where we should be investing meaningfully in top of funnel. We will always think about NPS and engagement and ensure that we can drive our existing consumers to our new products. We believe as we look at our innovation pipeline that the first consumer likely to buy is an upgrade from a Traeger owner who bought 5, 6, 7 years ago. But I think we'll start to see the mix increase towards new customers as we invest in new markets where [indiscernible] is low and penetration is low. 
Simeon Siegel: Right. That's great. And then congrats on that gross margin. I mean you pointed out the highest -- do you -- and recognizing your deleverage comment for Q3, but do you think that the supply chain is behind us. Do you think that as you look at where you are and you look longer term, not about the guide for this year, but you look longer term. Are we back to that path towards low to mid-40s? Like is there any externalities we need to still keep in mind because I just -- this was an encouraging number. 
Dominic Blosil: Yes. I would say that it's consistent with what we've addressed around gross margin in previous calls in that there will be sequential benefit from macro over, say, the next couple of years, just given the dynamics of certain decisions we made during the pandemic when pressure was pronounced, locking in some fixed contracts on the inbound transportation side as an example of something that will bleed down over the next couple of years. But it is safe to say that macro is working in our favor, and that has been an important assist to how we think about the long-term sustainability of a gross margin that we believe is appropriate for our business. 
 And so Q1 is a great signal, there's some idiosyncrasies to the year that I think you've sort of spoken to. And -- and I would say that H1 is in particular, benefiting from the continued tailwind of inbound transportation and then also the FX component that we addressed on the opening remains, whereas back half was maybe it's sort of facing less of a benefit from a comp standpoint given the fact that the inbound rates were improving in the back half of last year. 
 So I'd say we're starting to see some stabilization in that realm. And I think that, that assist is really I think, driven a different perspective on the long term of gross margin in conjunction with the controllables that we continue to drive. So positive kind of view on where we are today, where we think we'll be able to take gross margin in the future with continued tailwinds hopefully driving some of that in the out years. But I wouldn't say that we've necessarily reached that mark just yet. 
Operator: Our next question is from Peter Benedict with Baird. 
Peter Benedict: Just on the strategic pricing plan, Dom, you mentioned kind of at the end there. Just curious if you can expand a little bit more on that. Is that -- is that around the existing portfolio? Is that new innovation that you plan to bring in at different either price point or margin point? Just maybe help us understand a little more what you're referring to there. 
Jeremy Andrus: Yes, Peter, this is Jeremy. Happy to answer that. Yes, I'd say a couple of things. One is, as we prepare to launch new products in the future, I think it gives us permission as we get later in life cycle of existing products that have been in the market for some time to lean into promotion as a lever to ensure that -- or a good channel inventory position as we launch new products next year. So that's sort of top number one. Number two, in a challenging macro economy and notably for the category that we play in, we're very thoughtful as we look at what is selling through, what trends we're seeing from a consumer perspective and price sensitivity is certainly one of those. 
 And so we are measured in how we plan promotions. We plan our promotions many months in advance, but we feel this is an environment where we will lean into promotion a little bit more, perhaps not in the number of promotions, but in the level of promotion, we'll be thoughtful to consumer trends and where we think there's value and opportunity to do any more. So this is part of the plan. As we think about guidance, this is inherent in the guidance that we reaffirm today. 
Peter Benedict: Yes, that makes sense. Is there anything in terms of the timing of the innovation that you have planned for the back half of this year or even for 2025, which sounds like might be a bigger innovation year, that you could adjust that based on the macro. I mean I'm just trying to get a sense for maybe how the macro is right now relative to kind of your expectations and whether it would -- what would cause you to maybe shift the timing of any of the innovation, if there is anything that would make you do that? 
Jeremy Andrus: We don't really think about product launches around macro. Our development pipeline, our objective is to be very consistent in how we invest and when we launch. And so we do it independent of the macro. And I would say from a time of launch, it's driven more by seasonality and by our retailer reset windows. This category is one that tends to reset in the first quarter in preparation for the spring/summer selling season. And so we will stick to that [indiscernible] what works best operationally for us. It's what we plan on for our retailers -- but to the extent that we need to be more promotional to ensure that our channel inventories [indiscernible] before we launch new products, promotional is certainly a lever that we can use, especially at the end of life products -- I mean plans I would say, Peter, our innovation plan is many years out. And so it's really hard in a durables business to plan innovation around macro cycles. 
Peter Benedict: Yes. No, no, I think that makes sense. That makes sense. Just one more for -- maybe for Dom. Just to clarify on the third quarter gross margin expectation, you mentioned it would be the softest sales quarter and therefore, some pressure there. Do you expect gross margin in the third quarter to be down year-over-year or just up, I guess, that's been thinking about the year. 
Dominic Blosil: Yes. We're not guiding specifically to quarters from a gross margin standpoint or anything. But what I would say is that the impact should be pronounced. So it will be a deviation from kind of the general run rate we see in the other quarters. And just to add to that, we are reaffirming our gross margin guidance, so that's an important comment as you think about modeling and [indiscernible] how you treat Q3 given kind of lower sales and the deleverage off of those lower sales. 
Operator: Our next question is from Joe Feldman with Telsey Advisory Group. 
Joseph Feldman: I wanted to follow up. When you -- when consumers are making purchases because clearly, you are selling quite a few grills still. But are they opting for the better quality grills? Are they spending more, have you seen any change in their behavior? I know it may be subtle, but always curious about that. 
Dominic Blosil: No, we most definitely have seen a change in behavior where there's been, I would say, a pronounced shift from the volumes that we tended to see increasing above $1,000 to now having that kind of dynamic shift to sub $1,000 in kind of those entry price points that we offer. So that is definitely a trend that we're seeing and reinforced by the point Jeremy made earlier in terms of how we're thinking about promotion to ensure that we are strategically competitive in an environment where consumers are just simply more price sensitive, right? These aren't necessarily systemic changes that we were making per se. We just want to make sure that we remain competitive, and we always think about price as a strategic lever within the guardrails that we've defined around how we think about gross margin and ensuring that we're not a brand that's considered to be on promotion, right? So I think within the margins, we have flexibility to lean more aggressively into promo without straying outside of those guardrails. 
 But that really is in an effort to follow these trends, which is certainly specific to Traeger as well as specific to, I think, broader kind of categories as you think about pressure on big ticket in relation to where we see kind of the volumes and where we want to capture that benefit. I think at the end of the day, we still believe that there's a consumer that is willing to pay for innovation and quality. And we address that across our product line. But at this moment in time, we want to follow that trend and ensure we play more aggressively where the consumers are shopping. 
Joseph Feldman: Got it. That's very helpful. And then just another maybe question about sourcing. I was curious, can you remind us the exposure to China? And if that -- if you guys are still making any effort to shift further away from China. And if I recall, you said you would not, you're kind of happy with where you're sourcing from. I'm just curious because people ask us in relation to potential Trump administration and if tariffs were to increase again. So I was just curious about that. 
Jeremy Andrus: Yes. So we do have an active effort underway to diversify sourcing outside of China. And we currently manufacture in Vietnam -- there are other geographies in Asia where we are actively [indiscernible] options. In some cases, the existing suppliers just taking operations outside of China -- those are active conversations, and we do certainly believe in the value diversification and always measured against sort of stability and cost within the supply chain. But we're also -- we're very contemplated around what the environment may be to the extent that a new president such as President Trump leans into additional China tariffs and we think about what a contingency plan may be to accelerate movement from China to other sourcing geographies. So that's what the top of mind. 
Operator: Our next question is from Brian McNamara with Canaccord. 
Unknown Analyst: This is [indiscernible] on for Brian. We were just curious about retailers, floor space dedicated to the category and whether they remain committed to keeping or increasing floor space for the category? 
Jeremy Andrus: Madison, yes, we haven't really seen any shift in retailers' point of view on the category either in season or across seasons. There is certainly a moment, a handful of years ago where we saw retailers begin to move to year-round barbecue sets and also to expansion floor space. But I would say it feels pretty steady state right now. 
Operator: Our next question is from Megan Alexander with Morgan Stanley. 
Megan Christine Alexander: Wanted to come back to the sell-through. Jeremy, I know you talked about it still being down in the quarter. Is there any way you can quantify maybe just for Grills, what that sell-through number looked like in relation to your Grills revenue being down that mid-teens number? I know you were lapping the sell-in of the launch last year. So just trying to understand, number one, what sell-through looks like in the quarter? And then just bigger picture, from a units perspective, are you seeing that decline stabilized? Or was your commentary earlier around the macro, does that suggest the declines may get worse? Or are you kind of thinking about the declines have heavily stabilized at this point? 
Dominic Blosil: I can jump in and answer that. Thanks for the question. I think to your first question on sell-through, I think at the end of the day, it sets sort of a baseline for how we think about our forecast this year, but there are idiosyncratic components to sell in that are building on the declines that we're seeing in sell-through, which look more pronounced on a reported basis. And it's exactly what you said, it's the launch comparison, right? So comping Flatrock, Ironwood launch in H1 of last year and then the sunsetting of products ahead of a new product launch in 2025 in the back half of the year. 
 So those are sort of layered on top of our baseline forecast, which sort of underpins our general thinking around demand planning -- and I think from a reported standpoint, those look in excess of what we're seeing from a sell-through standpoint. We don't obviously share sell-through information -- but I would say that we've talked sort of about the pre-pandemic comparison historically, and I would say that that's still holding at a higher watermark. And so that kind of been a barometer for how we think about the health of sell-through, where a comp against pull-forward through the pandemic is very different than a comp against '19, where there's a reversion back to pre-pandemic levels, which we're not seeing. And so our belief is that at the end of the day, we just continue to lap pull-forward through the pandemic, and then that's augmented and sort of distorted by this picture that's emerged around excess inventories that we had to bleed down and that came at the cost of top line. 
 And then this year, these 2 sort of comp comparisons in first half and second half around the sunsetting of product and then the comp in the first half against the new product launch. So that's really, I think, a kind of a summary of what we're seeing. And I wouldn't necessarily say we're in a position to tell you that things are getting worse or better. I think right now, it's just kind of consistent themes around the sell-through side. 
Megan Christine Alexander: Got it. That's really helpful. And then maybe asking the gross margin question a different way. Again, really impressive. It was above what you did in 1Q '19 and you did a 43% full year gross margin in '19, understanding you have the unique dynamics in the second half with the sunsetting of some products. But is there a way to quantify maybe just what the impact that you expect the sunsetting of the products to be, whether it's from a top line or margin basis? I know you've said, I think it's accretive from an EBITDA perspective. But any way just to contextualize that? 
Dominic Blosil: Yes. So the sunsetting isn't really a -- it's not really driving margin erosion by replacing old with new. It's more a function of the added pressure on Q3 around the fact that, one, Q3 is always our lowest selling period. And two, your sunsetting product, which is adding additional pressure to volumes in that quarter, which in turn is just driving more pronounced deleverage in the quarter, right? So where we saw some nice expansion in gross margin in Q1, we do expect that to moderate some over the -- from a run rate standpoint from Q3 to -- from Q2 to Q4, reaffirming our gross margin guide for full year, which means that most of the pressure is coming in Q3 based on the impacts on volume and just how pronounced that deleverage is in relation to the impact on gross margin. 
Operator: We have no further questions at this time. [Operator Instructions] There are no further questions. At this time, we would like to thank you all for your participation, and you may now disconnect your lines.